Operator: Good afternoon. And welcome to Twilio's Q3 2018 Earnings Conference Call. My name is Sheryl, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I would now turn the call over to Greg Kleiner, Vice President of Investor Relations and Treasurer. Mr. Kleiner, you may begin.
Greg Kleiner: Thank you. Good afternoon everyone. And welcome to Twilio's third quarter 2018 earnings conference call. Joining me today are Jeff Lawson, our Co-Founder and CEO; George Hu, our COO; Khozema Shipchandler, our incoming CFO; and Lee Kirkpatrick, our outgoing CFO. The primary purpose of today's call is to provide you with information regarding our 2018 third quarter performance in addition to our financial outlook for our 2018 fourth quarter and full year. Please note that we’ll not be discussing the pending merger of Twilio and SendGrid, as we’ll soon be in the SEC review process of the joint proxy statement prospectus related to the pending transaction. Q&A at the end of the call will be limited to matter related to our third quarter earnings. Some of our discussion and responses to your questions may contain forward-looking statements, including but not limited to, statements regarding our future performance, including; our financial outlook; our pending acquisition of SendGrid, impacts and expected results from changes in our relationship with our larger customers; our market opportunity and market trends; the growth of our customer base; customer adoption of our products; our momentum; the benefits of our business model; our delivery of new products or product features; and our ability to execute on our vision. These statements are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize, or should any of these assumptions as outlined in our earnings release and the documents referred to in that release prove to be incorrect, actual Company results could differ materially from these forward-looking statements. Discussion of the risks and uncertainties related to our business is contained in our most recent Form 10-Q filed with the SEC on August 8, 2018, and our remarks during today's discussion should be considered to incorporate this information by reference. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today, or to reflect new information or the occurrence of unanticipated events except as required by law. Also, during this call, we may present both GAAP and non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short time ago. I'd encourage you to read our earnings release as it contains important information about GAAP and non-GAAP results, as well as the reasons why we present guidance for non-GAAP financial measures of income from operations and net income per share, but not the comparable GAAP measures. The earnings release is available on the Investor Relations page of our Web site and as part of our Form 8-K furnished to the SEC. Finally, at times in our prepared comments or in responses to your questions, we may offer incremental metrics to provide greater insight into the dynamics of our business or quarterly or annual results. Please be advised that this additional detail may be one time in nature, and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations Web site at investors.twilio.com to access our earnings release, periodic SEC reports, a webcast replay of today's call or to learn more about Twilio. I'll now turn the call over to Jeff.
Jeff Lawson: Thank you, Greg. Welcome everybody to this quarter’s call. Now before I begin, life handed me the microphone on this Election Day, so I feel it is my responsibility to remind everybody listening to please take the time to go through. Thank you. Now, on with the call. In Q3, we drove success for our customers once again, which translated into another strong set of financial results. Our relentless focus on innovation and empowering developers continues to resonate in the market, powering our platform business model. And as George will talk to you in a moment, we are adding important new logos and driving deeper relationships with existing customers as well. The investments we are making in innovation and go-to-market are clearly working. Base revenue, the primary metric we focus on, grew by 68% in the third quarter to more than $154 million; total revenue grew a similar amount to nearly $169 million; core voice and messaging, our largest businesses, continue to fuel our results. The relationships our go to market team are building with our customers drove our dollar based net expansion rate to 145% in the quarter, as we continue to unlock more and more use cases within our customer base with a growing set of products. As I’ve been discussing throughout the year, our top two priorities for 2018 are to further our push into a strategic software platform for customer engagement through our build out of the Engagement Cloud, and to expand our position as developers' first choice for communications. And coming off our annual Signal Conference last month, we made several advancements in both categories. At the Engagement Cloud layer, we announced the general availability of our contact center application platform, Flex. Flex was the result of many years of helping customers build-out new contact centers on Twilio, listening to them and learning about the complexities of what they were tackling. An important part of Flex is the workforce optimization or WFO, product that we added through the acquisition of Ytica in the third quarter. We've been working with Ytica for a long time and they have become an integral part of the Flex build out and the success we saw with early customers. Reporting and analytics are key components of any enterprise grade contact center, and we are thrilled to be able to offer this product as a core component of Flex. At Signal, we had Shopify on stage, describing how they built and launched Flex for more than 1,000 agents in the course of about five months with three developers and two interns behind. We had several more customers commit to Flex pre-launch in the third quarter, and we have many more customers in our pipeline. Of course we have a lot of work to do to make our early customers successful, but I really think we have hit an important market need within a pretty unique offering. For the first time, customers can now have their case and needed to. Flex combines this scalability and reliability of our cloud platform with the ability to programmatically customize every element of the contact center experience. This is a powerful combination, and we believe we've created a fundamentally new way of delivering software value to customers, which will serve us well as we continue to build out the Engagement Cloud over time. And as we look to grow Flex, particularly in the enterprise, helping our customers process payments in a complaint way is very important to unlocking the full opportunity. How many times has everyone listening today read their credit card number do a contact center operator. More times than I'm sure any of us want to count. But to help support this vision for our customers, we had e two key announcements at Signal, the launch of Twilio  and our PCI certification. Accepting credit card payments over the phone has long been a complex and expensive process but no more. Twilio  allows developers to add one minor code to their application to process payments, while using our programmable voice products, all in a compliant way. Our launched partner for  is Strike, one of the pioneers in empowering developers around the world to more seamlessly embed payments into their software. The credit information captured securely through pay will be processed on their platform. And we couldn’t have launched pay without our voice platform being PCI certified. For those familiar with the payments industry, PCI or payment card industry certification is a must for any company's processing, transmitting, restoring consumers' credit card information. Until now, companies had to face the complexity of becoming PCI compliant themselves, or use that hardware-based payment processing tool's limited customizability. Our programmable voice product has been granted payment card industry's data security standard, that’s PCI DSS level 1 certification. Meaning that customers can now use our platform to process payments securely without having to do the development or complete the annual audits themselves. All of that has taken care of by our platform. Flex and  together make a great experience for customers. Another subject on the mind of nearly every enterprise and developer in 2018 is artificial intelligent, AI, and how to harness this technology to create great experiences. To-date, AI and bots have largely been a lot of hype, leading to lots of unfulfilled promises and poor experiences from many consumers. At Signal last year, we announced Understand, our first foray into the machine learning natural language understanding space, to begin our work with customers to unlock this opportunity. And at Signal this year, we launched Autopilot, the next evolution of this product with a natural language understanding engine, a conversational application platform and an omnichannel hub. What that means is Autopilot is a fully programmable conversational AI platform. We’re building custom bots, IVRs and even home assistant apps. With Autopilot, we’re empowering developers to build bots in real life at scale and with the user experience in mind. This requires conversational logic to enable natural interactions. The ability for developers to use their own data that train their bots to get smarter over time and the intelligence, hand-off the conversation to an agent if needed without losing any of the context. And by the way this needs to happen across all channels, voice, messaging, personal assistance, a difficult task but a common theme across many of our product efforts, really nailing an individual channel is powerful for companies. But the number channels is growing more complex by the day, and enabling developers to build once and deploy across multiple channels is incredibly helpful. We also had two programmable wireless announcements at Signal. First, the Twilio Super-Sim, expands our efforts to provide global connectivity for our growing list of IoT customers through a single API. We are, in essence, duplicating the approach we took with the Super Network and the build out of our voice and messaging footprint. We added relationships with the Three Group, Singtel and Telefonica, increasing our network reach significantly across Europe, Asia, and Latin America. And we plan to add more overtime. Developers can now, through our software, use one API to optimize the connectivity to local carriers around the world for their devices containing our sim cards. As with voice and messaging before it, this allows our customers to focus on product innovation rather than mobile infrastructure or network access. We also took an exciting step towards the future of wireless connectivity by launching the nation's first developer platform for the emerging narrowband connectivity market, or NB-IoT in partnership with T-Mobile. We firmly mentioned in the past what we see coming with the NB-IoT and how it has the potential to increase the addressable market for devices exponentially. See, most of the IoT use cases we've seen to-date have been focused on high value items like cars, scooters or freight connected by expensive modems. This market is still emerging and has a ton of exciting development going on. However, the NB-IoT is designed for devices consuming smaller data payloads, think, timestamps or GPS coordinates, status updates, and the like. And because the data consumption is lower, the modems can be cheaper and the power requirements can be substantially lower. This opens up the potential for a whole new class of devices that; for example, could one for years on a single AA battery and have the lifetime bandwidth consumption easily included in the price of the device. This technology is really going to open up some interesting possibilities for developers in the world and we can't wait to see what they do. We also celebrated a milestone at Signal, the five year anniversary of twilio.org. When we started twilio.org, we set out an ambitious goal of sending 1 billion messages for good over a 10-year timeframe. And through a lot of hard-work and the power of our platform, we accomplished that in just five years. So our new 10 year goal is to have social impact organizations worldwide use the platform to help 1 billion people every single year. I'm incredibly proud of the work the team has done to-date and the impact we are having on people's lives around the world. And as investors I hope you are as well. Beyond the great work twilio.org is doing, their customers are currently driving more than 1% of Twilio's overall revenue. And this segment is growing even faster than the overall business. So we believe that doing good is also good for business. Overall, Signal was an amazing event once again this year. I always come out of Signal super energized by all of the customer interactions we have, the new faces we get to meet and the opportunities we discover by bringing everyone together. There are two other things I wanted to touch on briefly, management additions and our new head quarters, both important steps we've taken to prepare us for the future. We announced a couple of weeks ago that after a long and thorough search, Khozema Shipchandler will be joining Twilio as our new CFO. As I have discussed with many of you, the primary attribute we have been looking for was someone with a track record of operational excellence at scale to take us to the next phase of our growth. Khozema has spent more than 20 years at GE in a number of financial leadership roles across several multibillion dollar businesses. Most recently, Khozema was GE's Digital Chief Commercial Officer. Prior to that, he was the CFO and EVP of Corp Dev for GE Digital, the VP of Corporate Audit Staff at GE, as well as the CFO of several other GE divisions. We are thrilled to have him on board. Also earlier in the quarter, we added Nils Puhlmann as our Chief Trust and Security Officer. Nils is a 20 year veteran of the security industry, having served as the Chief Technology Officer of Endgame and Chief Security Officer at Zynga, Qualys, and Electronic Arts. He also co-founded the cloud security alliance non-profit organization, which promotes the use of best practices for security assurance within cloud computing. You have heard me saying many times that trust is a number one thing we sell and Nils is a great addition to help shape our efforts here going forward. In terms of our new headquarters, we've already outgrown our current facilities in San Francisco and we will be moving into a new building in 2019, actually the old Salesforce building in Rincon Plaza. We have acquired roughly 2.5 times the square footage we currently have in San Francisco, which will be brought online in phases over the next couple of years to support our growth. There is a lot of great history in that building and I look forward to adding to it. And while we always have an eye towards the future, we continue to focus on what matters most, making our customers successful. You can see that in our results, as well as in the investments we are making in the future, we are operating in an enormous market, communications at a tipping point in its transformation into software and a market where customers have been miss-served by the incumbents. As I noted at Signal, we are in the early stages of a great communications renaissance. We are investing in its future and we believe customers will continue to award for these efforts. Now, before I hand this call over to George, I did want to acknowledge Lee's many contributions to Twilio. Lee, you have been instrumental in making Twilio what it is today, and it's been a pleasure working with you for the last 6.5 years. Thank you for everything you've done for the Company over the years, including giving us the time to find such an amazing successor to the legacy you're leaving here at Twilio. George, let me turn the call over to you for an update on our go to market efforts.
George Hu : Thanks Jeff. I would like to start by also thanking Lee for his tremendous contributions to Twilio. It's been my real pleasure to work with him over the last 18 months, and we will all miss him and we wish him the absolute best for his future. Now, on to Q3. The go to market team did a great job once again, executing against Twilio's massive opportunity. Our core notion of bringing new customers onto the platform and making existing customers even more successful continues to work quite well. We remain focused on our three core priorities; winning the hearts and minds of developers; increasing our account coverage; and building the foundation for future growth. Coming up, my second Signal at Twilio, we saw incredible momentum from developers, customers, executives and partners. We moved to a larger venue to accommodate our growing community this year, and our team put on a spectacular event. The reaction from developers to the new product announcements was amazing. We also had our largest ever Superclass a full day developer hands-on training session. In addition to a strong developer turnout, we also had enterprise speakers from companies like FedEx, Domino's, 1800 Flowers, Shopify and more, on the main stage talking about why and what they have built with Twilio. We also held our first ever creators track, a VIP track to serve our growing community of business executives. At Twilio, we believe executives are doers too. They’re helping to bring the communications renaissance Jeff discussed earlier to their companies. We had more than 100 registrants to this track, who I believe walked away seeing Twilio in a more strategic light. Another new component of Signal this year was our Partner Summit. As I’ve been discussing throughout the year, we are in the midst of building out our partner program, which I believe will be an important driver of our growth in the future. We have several 100 people registered for the Partner Summit, and our main section was standing room only. We are seeing many companies coming from the legacy communications world who want to learn how to transition to the new world of the cloud, and they're making substantial commitments to build this future with us. Turning back to Q3. We had a number of exciting new deals in the past quarter. As Jeff alluded to, we signed a number of Flex deals in the third quarter, so let’s start there. Flex is a long time customer of Twilio, and we're thrilled to expand that relationship in the past quarter by adding them to the growing list of companies, using Flex to reinvent their customer support experience lift and to deliver a caring experience to all of their constituents, whether it’d be riders, drivers or applicants. And as you saw in scale that 1,000s contact center agents dealing with these three groups of users, all with very different needs, like lost and found, filling, safety and more. In many cases, they have different systems and sources of data for each of these users across a number of disparate channels and interaction points, requiring their agents to look in multiple places to surface the necessary information in order to provide a resolution. Lyft chose Flex to support their rapidly growing business, because it gave them the freedom to build a truly differentiated and customized omnichannel experience to provide better outcomes faster. Flex can not only bring all of their different channels under one roof, but also becomes the abstraction layer to all of the underlying systems. This enables a more contextual and personalized resolution process for all involved, while also giving Lyft the ability to not only respond to but anticipate and resolve future problems before they surface. We also signed a large deal with Medallia in the last quarter. Many of you may know Medallia. They are rapidly growing cloud software company, focused on helping companies build better customer and employee experiences. And we’re going to power the SMS channel of their new Medallia conversations product, which help companies gather feedback and interact with customers in real-time to improve their experience as it's unfolding. Our global footprint and highly reliable platform were key to this win. On the enterprise side, we had a great win at a Fortune 500 financial services firm in the past quarter. You may remember our deal with Morgan Stanley last year. We landed a similar opportunity with another bank who is looking to empower better, and the regulatory compliance communications between their many thousand financial advisors and their clients. Using Twilio, banks can now enable advisors to use their personal phones to text with their clients, while maintaining compliance. We have also signed a new deal with a Fortune 500 medical testing company in Q3. This company is looking to improve their CRM system. And as part of this effort, we'll be using our messaging platform to send SMS notifications for lab work, medication reminders, appointment reminders and more. So overall, I'm thrilled with the continued momentum the team has been able to deliver, not only with short-term success but also laying the ground work for further success over the long-term. Before I pass the mic over to Lee, I did want to acknowledge the passing of a great friend and long-term colleague of mine, Ron Huddleston, our Chief Partner Officer. For those of you who never had the privilege to know Ron, he was a one-of-a-kind partner leader and one of the most positive, energetic executives I've ever known. Even though Ron was only at Twilio a short time, he made a tremendous impacts by launching our Twilio Build program and hiring an amazing partner team that will continue to carry out his vision. We will all miss him tremendously. With that, let me pass the mic to Lee to discuss our financial results.
Lee Kirkpatrick: Thank you, George and good afternoon everyone. The business continues to perform well in the third quarter as more and more companies are turning to Twilio to help transform the way they engage with their customers. Revenue growth was strong once again with base revenue growing at 68% year-over-year. Excluding Uber, growth was 70%. The power of our business model was evident in our dollar-based net expansion rate, coming in at 145% or 147% without Uber. Please note that after the fourth quarter, we'll be moving away from the ex-Uber metrics. Overall, our growing list of product innovation, coupled with an expanded presence in the field, continues to drive success with customers. The top 10 active customer accounts contributed 18% of total revenue in Q3 compared to 17% last quarter and 17% in Q3 of 2017. Our top two customers, WhatsApp and Uber, contributed 6% and 4% of total revenue respectively. We had six variable customer accounts in the third quarter. Gross margins came in above 55% in the third quarter, a bit higher than the range we've seen in the past four quarters. I would remind everyone of the same strategy we have been discussing since the IPO. We remain focused on doing the right things to grow the business long-term rather than maximizing gross margin in the near term. But simply, we are not a gross margin expansion story in the near-term, so expect fluctuations in our gross margin. We continue to see things that could impact our gross margins like product, country and customer mix, network service provider fees, FX and more. An example of this is an expected change in Q1 2019 in our SMS messaging business through Verizon in the U.S. Previously, Verizon has treated all P2P, or person to person and A2P or application to person, messaging the same. Starting in February, Verizon is planning on creating a new service offering, which will add a quarter of the penny fee per message to all businesses with A2P SMS messaging use cases. This type of thing has happened before. It carries at a similar fee of short term messages a while back. Our short term business continues to grow rapidly and we expect the same in SMS as well, given its effectiveness as a channel. Operationally, as with the shortcut keys in the past, we’ll be passing the surcharge on to our customers. While it will not impact the gross profit dollars we receive from customers sending SMS message at Verizon subscribers, mathematically, it will impact our gross margin. We estimate approximately 100 basis points drag on a quarterly basis to our corporate gross margins when this goes into effect in February of next year. Nothing like this that impacts the objects of our gross margin but not the reality of our business on a gross profit is a great example of why we’ve not been focused on maximizing gross margin percentage in the near term. For your models, we ended the quarter with 1,274 employees with 24 added through acquisitions. Our international mix of revenue was 26%. You’ll also notice in the statement of cash flows about $30 million spent on acquisitions in the third quarter. The majority of this was for the Ytica acquisition Jeff mentioned earlier. We also purchased a small company to support our growing programmable wireless efforts. And these acquisitions had a material impact to our top or bottom line results in the third quarter, and expect that to be the case again in the fourth quarter. Looking forward in the next year, we’re in the midst of our annual planning process so we won’t be providing detailed 2019 guidance at this time. However, I do want to provide some color on a few items. As Jeff mentioned earlier, we’ll be moving into new headquarters starting into the first quarter of 2019. Financially, this will have a couple of impacts; in CapEx, you should expect about $40 million of build out costs with mostly across the next three quarters; at the operating line, the fact that will contain double rent will likely push us close to breakeven on the operating line for Q1; like most of the businesses, we paid these seasonal costs from payroll taxes, 401(k) match payments and the likes in the first quarter of the year; and the actual rent situation will put incremental pressure on operating expenses in Q1. As this is my last conference call as CFO of Twilio, I want to thank all the customers, employees and investors that I’ve had the pleasure of working with along the way. Twilio is a special place, and Jeff, it’s been an honor to work closely with you and the leadership team over the years. I am incredibly proud to leave the company in such great shape and hand the reins over to Khozema for the next stage of Twilio’s journey. It’s still day one. Thank you everyone. Operator?
Operator: [Operator Instructions] The first question comes from the line of Ittai Kidron of Oppenheimer. Please go ahead your line is open.
Ittai Kidron: Thanks. Again, you leave us speechless with the great results. So congrats guys. And Lee, thank you to you and Khozema, good luck to you in your role. Although, it doesn’t seem like you need to do much there. Business doing very good. A couple of things, Jeff, maybe you could talk about the diversity of the business activity. I mean, clearly, your guys are executing very well. But help us think about the breadth of your product adoption. We’ve been customers. How much of that is a driver versus your core voice and messaging? And then Lee on your commentary on 1Q and the gross margin, the Verizon impact. Can you help us maybe translate the 1%, I think a quarter of a penny, I think you mentioned. Can you mention that in percent terms? What price increases is it from a percent standpoint? And if you’re passing it to customers, why would there be still a gross margin impact?
Jeff Lawson: Ittai, this is Jeff. I'll try to answer and I'll then hand over to Lee. So you've asked about the diversity and it really is strength across the board, both in the customers, the customer segments, the customer sizes as well as in the products. Now, across the customers, we are seeing great use cases at companies big and small, new and old. From our customer standpoint, we see a very strong dollar based net expansion rate 145% this quarter. But we are also doing I think an excellent job bringing new customers as well, but obviously they're earlier in their journey with Twilio. As far as products go, you do see most of the growth is provided by our core products, voice and messaging, those are our largest revenue items. But we are very excited about products like Flex coming on board and we think in the future will be meaningful driver of revenue as well. But today, it's still largely our core products, voice and messaging, that are driving most of our performance. Lee?
Lee Kirkpatrick: So in terms of pricing, it’s a quarter of penny fee on top of our three quarters of list price. And then no impact on gross profit. But since we are passing it through, it impacts both the numerator and denominator. So the gross margin will decrease.
Operator: Your next question is from Nikolay Beliov of Bank of America. Please go ahead, your line is open.
Nikolay Beliov: I just wanted to dig a little bit deeper into the expansion rate, and maybe if you can just discuss the continued momentum and the increase here in maybe three buckets. What you're seeing in terms of consumption by large, medium and small enterprises? The second bucket would be the impact from the newer channels. At Signal, Whatsapp seems to be doing well, whether Whatsapp and video are contributing to the increase in the expansion rate here? And lastly, is there more like customer pull beginning to catch on versus you guys pushing in and giving ideas to customers in terms of additional use cases you can drive?
George Hu: This is George. Let me talk about each of those, thanks for the questions. In terms of the net expansion rate, we see that across the board. Honestly, it's not concentrated in small, medium or large customers. We are very excited to see it strong across the board. In terms of the new channels, we definitely see a lot of outside developer interest in new channels and some of them are early for us like Whatsapp. But as Jeff said, the most important driver of our net expansion and growth are the core products. And then in terms of customer pull versus push, I would say that we consistently have had a lot of customer pull. I don’t think that’s a new thing for us. And if you think about our core strategy, which is to win the hearts and minds of developers; first, those are the ones that are bringing us into customers but they are also the ones that are often dreaming up or tasked with coming up with new ideas and use cases. And so I think that’s what helped to drive the efficiency of our go to market model as to have that developer led customer pull is easier language.
Nikolay Beliov: And I have a quick question for Lee, if you don’t mind. Lee, Flex, I was just doing the math in terms of the Flex price, software 130 usage, you placed 80% gross margin for software and 55% for usage, Flex should be around 70% gross margin. I was wondering whether that makes sense. And in general, if you can comment whether Flex will be gross margin accretive?
Lee Kirkpatrick: Yes, absolutely. So you are thinking about the right way. And your numbers are definitely in the range. Flex, will be accretive on the gross margin basis. Just keep in mind we just went GA this quarter, so it will take time to roll out and have an overall impact.
Operator: [Operator Instructions] Your next question comes from the line of Mark Murphy of JP Morgan. Please go ahead your line is open.
Mark Murphy: I wanted to start first a question with Lee. You have been trying to factor in the pipeline I think a little more fully into guidance. And of course the magnitude of upside might be a touch less than it was in Q2. But it's still a lot of upside. I guess I am curious did something in particular surprise to the upside, any particular product, any particular customer segment or usage scenario? And did George Hu's initiatives may be continue to outperform even as you try to factor them in more fully?
Lee Kirkpatrick: Yes, I mean we're absolutely thrilled by the performance on the quarter, again, strength of the platform model and the go to market efforts that George has been leading. The strength, which is broad-based across the customer base and as Jeff and George talked about earlier, we’re still working on improving the forecast. This go to market notion is new. But again, we’re just pleased with the results and pleased with the future outlook.
Mark Murphy: And then Jeff I wanted to ask you just regarding the Twilio Super Network. At Signal, there were a bunch of announcements. I think you had announced it now serves more than 90% of the world GDP. There was a comment that it can detect 97% of the network incidents in real time. It's GDPR compliant. I'm just curious do you see much more work to be done to advance the Super Network? Or is that at a point where it's so unique that you can shift your engineering efforts a little more rapidly into some of the newer vectors, like payments and AI and bots and so on and so forth?
Jeff Lawson: Please limit your questions to one per person. I will answer your extra questions. The work of the Super Network is truly never done. I mean, the communications -- the global telecommunications network is a very, very complex thing. And if you think about it reaching the world’s population reliably in a cost-effective way is a huge challenge. And so we continue to invest in that, for SMS, for voice, for phone numbers and now also on the programmable wireless side as well with our new Super-Sim. And so we believe that there is always great amount of work that we can do to better serve our customers when listening to the things they need from us that we can invest and build a better Super Network all the time.
Operator: Your next question comes from the line of Bhavan Suri of William Blair. Please go ahead, your line is open.
Bhavan Suri: This question is for all of you, but I’d just love to understand. It’s obviously early days for some of the more recent products. But any early reads -- interest you’re seeing on  the integration with Strike there and Autopilot, any growth there and then any new IoT use cases? Thank you.
Jeff Lawson: I think as all of those, yeah,  and Autopilot, I mean these are brand new products we just introduced about 2.5 weeks ago. So -- and obviously still in beta. We just bought them to the market. So, it's too early to say, obviously they're not producing revenue yet as beta products. But on the beta stage, what we do is we work with customers, we see the use cases their building, we understand things we got right, the things that will become the road map, the things we want to add to it or change as everything goes on. So far, I would say, for both of these products, we got fantastic feedback from early customers. At Signal, both of them had a lot of working sessions with customers where they could meet the products with their hands on, start using them, so far feedback has been great, but obviously there's only a couple of weeks of feedback to-date and it takes time for customers to build on them, deploy them, use them and give us even more feedback as we continue to scale. I guess, IoT wireless as a product is doing really well. We're really excited. We think that has an enormous opportunity. It is a small part of our revenue today, but obviously the IoT market is a very big one and we think this is a bit early stages of the very large opportunity just the whole IoT market. We're particularly excited to launch the NB-IoT product that we brought to market with T-Mobile at Signal that we announced a couple of weeks ago, because as I've mentioned before on earnings calls the new protocols that are coming online to power even more IoT use cases are very power efficient and very cost efficient. And if you can bring the cost down for IoT connectivity to connect to the cellular networks, you're always connected, you're not holding the working Wi-Fi and passwords or Bluetooth pairing all the sort of stuff, it's just connected to the network, you have to think about it and if that is extremely cost-efficient and you can purchase the lifetime of connectivity when you buy the device, there's no subscription plans or anything like that, that's going to increase the number of types of devices that can be built as well as battery life. As I mentioned, if you can get the battery life down to something as always connected to the network and powered on the single AA battery for five years, we can -- that too will change the nature of the kinds of devices that can be brought to market. Prices of connectivity coming down, battery life coming down -- or battery life going up, this is going to rapidly expand the number of things that can be built in the IoT world. So, we are very excited about Twilio.
George Hu: I want to add on a little bit to that from my perspective. Obviously as Jeff said, these products are new, some of them, but I think it's very interesting to see that, for example, the reaction kind of apples to apples over the same time period versus understand last year for Autopilot, for example, I think is much stronger. And I think it really speaks to the power of our, one thing I get excited about in this business is the power of our business model and our product model and customer engagement model that if you look at the energy around Flex that was really based on our learnings from TaskRouter, which is a smaller API and then really bought in something that we're really, really excited about and the same way I think understand involved into Autopilot and we'll see where  and other things evolve over time, but I think the power of an API platform model to identify huge ideas with relatively small investments is something that I think is really unique to our model. And I think that the evolution you're seeing in the AI front, even as Jeff said, evolution in the wireless front with some of these new announcements, I think, is one of the reasons I'm so optimistic about the potential of this company.
Operator: Your next question comes from the line of Alex Zukin of Piper Jaffray. Please go ahead. Your line is open.
Alex Zukin: Congratulations again on another quarter of meaningfully accelerating growth across every metric and I guess I wanted to ask about how we should think about that dollar-based net expansion metric given its expansion here over the last couple of quarters. And what type of rates do you guys think are sustainable or maybe, the intermediate term or the short term? And when will Flex become a meaningful contributor to that metric?
Lee Kirkpatrick: Again, that expansion rate is being driven by driving deeper relationships with our customers and product velocity releasing new products. So nothing -- I wouldn't say it's really an inflection point, it's just our business as usual in the power, the platform model. Going forward, longer term right, it's extremely high expansion rate. In the long term, the older cohorts will become larger and they do grow at a less rate than the new cohorts. So over time that will decrease, but we still think it's going to be meaningfully important going forward.
Operator: Your next question comes from the line of Michael Turrin of Deutsche Bank. Please go ahead. Your line is open.
Michael Turrin: Good afternoon. Thanks. Conversations around Flex coming out of Signal have been notably positive, especially around some implementation times and the pricing model you're providing there. I was hoping you could provide us with an update of around what you're seeing in that market today somewhere around the vision where you're headed and where we are in partner involvement there as well?
George Hu: Well, thanks for the question, Michael. This is George. Yeah, I think Flex is very, very exciting. We've gotten really, really strong feedback from the customers in the beta programs and you've seen that with Shopify and with Lyft now. So I think that's the most important thing. I think that we believe we have a hit product on our hands and what we're doing is building the capacity with the things like our partner ecosystem to support the successful deployment of the product over time. And certainly, while early days in that, I think we are growing the number of certified consultants on the Flex platform, we're making investments there. So I think that you're feeling and you're hearing from the customers and from us, the momentum behind this product, and we're kind of putting every -- we're putting our will behind to make it successful, so we're going to do everything we can to do that. And I think that we are still early, but early signs are very, very promising.
Operator: Your next question comes from the line of Heather Bellini of Goldman Sachs. Please go ahead. Your line is open.
Heather Bellini: I just wanted to follow up a little bit about Flex adoption and I was just trying to think through, I mean, obviously you've had a phenomenal developer-led model. I'm just wondering how do we see Flex adoption taking hold if you look that ahead? What's the mix do you think look like between developer-led versus partner-led momentum? Thank you.
George Hu: I think that right now -- this is George, again. Right now, the primary driver is developer-led. And I think it's interesting that even after our GA announcements, we had a meaningful inflow of new developer sign-ups for Flex. So the product has been announced in the market for a while, even though pre-GA. So I still think there is a lot of room to run in terms of developer momentum, 90% of the world's contact center infrastructure is still on-premise and I think there's a lot of developers that want to move to the cloud. So I think for -- we're still in the early innings of that, but I think the partner momentum will grow over time. I was very impressed with the turnout in the partner summit at Signal. And I think one of the reasons was -- probably actually I'm very convinced the reason it was overflowing was because of Flex that there's a lot of partners and resellers that I spoke to that are still serving the legacy world that want to move to the cloud and they see Flex as a very -- not only a great technology fit for what the market needs, but also a very partner-friendly model in terms of the build mentality that's required for the product. So, I think you'll see both grow over time, which one will overtake which one over time, I think it's hard to say. We're just so early. I mean, the product just GA-ed two and a half weeks ago. But I think there's opportunity in both.
Operator: Your next question comes from the line of Brent Bracelin of KeyBanc Capital Markets. Please go ahead. Your line is open.
Clarke Jeffries: This is Clarke Jeffries on for Brent. Thank you for taking the question. Coming out of Signal, we've been receiving inbounds from investors trying to understand the IoT opportunity, but I kind of wanted to dig-in in terms of how Flex plays into that. It seems to me that there's a little bit distinct advantage in terms of IoT support granted by the programmability. So I was just wondering, are we already planning for how Flex may be used for internal used cases in terms of supporting organizations with a lot of internal IoT footprint?
Jeff Lawson: Yeah. Thanks, Clark. This is Jeff. It's interesting. When we launched Flex back in Q1, actually one of the demos that we gave was in IoT integration, because something we are hearing from customers who are deploying IoT use cases is that when they need support having diagnostics and having data about these devices available to agents is critical. And also having alerts -- basically trigger context interactions coming from those devices is an emerging use case in contact centers. And ones that fixed feature of monolithic applications are just not going to be well suited to solve, because they lack the flexibility. And so, this is one of the use cases we thought about when we built Flex. And one of the beautiful things about Flex is that, as its name implies, it is completely flexible. And so, emerging workloads around the IoT or things that are specific to the workflows of a company who is deploying IoT and wants to integrate those data payloads or alerts and things like that that are triggering communications to customers, they can build those integrations into Flex pretty easily. In fact, the work type that occurs inside of Flex, it could be calls and chats, typical interactions you think of in a call center, but Flex has a very flexible notion of what's the type of work in which people need to do as one of the types that we envisioned here was IoT-generated work items. And it actually was one of the demos we used when we launched Flex on stage earlier this year. So I think there is something there that's obviously early both in IoT as well as in Flex, but I think that will be an area that can be interesting as time goes on.
Operator: Your next question comes from the line of Rishi Jaluria of D.A. Davidson. Please go ahead. Your line is open.
Rishi Jaluria: Just really quickly I think one of the exciting things out of Signal -- out of many announcements was just seeing the kind of launch of Twilio  and talking to the people from Stripe who are kind of excited to have this joint sort of product, so to speak. Just going back to talking about the partner ecosystem, is that something that you think you might be able to see with more other software vendors down the line, where there is this joint effort in kind of product development and product launch? Thanks.
George Hu: Yeah. I think that's a great question. And certainly we've partnered with other companies to deliver parts of our solutions in the past. For example, we partnered with Google for speech recognition is a good example of that. I think that with some of our newer technologies, I think that's really opening doors that we hadn't had before. I think I mentioned Flex already is one of them. But even wireless, for example. We've announced partnerships with Singtel and others that we're just not companies that we were working with in the past in this kind of way. So I think that as the footprint, the product footprint broadens, I think it opens many more degrees of freedom in terms of partners for interesting opportunities like Stripe and so on and so forth, which is why I think we've -- and one of the reasons, not primary reason, but one of the reasons why we continue to invest in the partner program in a big way starting this year.
Operator: Your next question comes from the line of Will Power of Baird. Please go ahead. Your line is open.
Will Power: I wonder if you can give us any breakdown between US-based companies and companies based outside the US? Are you seeing similar growth rates across both regions? And any difference in the types of products where you're seeing this kind of growth across different regions? Thanks.
Lee Kirkpatrick: So companies headquartered outside of the U.S. was 26% of total revenue and international is growing a bit faster than the US. And we're seeing a usage and strength of our all products in both geographies.
Operator: Your next question comes from the line of Catharine Trebnick of Dougherty. Please go ahead. Your line is open.
Catharine Trebnick: More on the partner program. Could you -- how many partners do you have? And how many -- what's your pace for adding on in a particular quarter? And on to that, how long does it really get them to train them up on all the various products? And is one product more popular than the other? So I guess that was more than one question, but I'm just looking for more color around your partner program and the time from when you engage them to revenue. Thank you.
George Hu: So I think that' the partner program -- our partner program has multiple building blocks, if you will, or aspects to it. So I think the answer is dependent on what you're talking about. Obviously for our solution partners companies like Zendesk and others, that's been a business that has been there for a while now and is an important part of our customer base and partner base. And I think that already is, I think, in a good state and will continue to grow that. For some of our new emotions to that are newer, one is our SIs and for there the big driver of that is Flex that I talked about. We're looking to build an ecosystem without giving exact numbers. We want to have a healthy mid to high double-digit number of partners in the ecosystem in a reasonable amount of time. And with a multiple of that as our certified ecosystem of consultants, and that's just early days. I mean obviously as Twilio continues to grow and Flex continues to grow, those numbers will multiply over time. But I think that's kind of where we're trying to get to in the near term to kind of explore what we see around the opportunity around Flex. And then we are just beginning to lay the foundation today for resellers, which we have really had in very de minimis fashion until this point. And so, I think that's another relatively unexplored opportunity honestly in partners. So I think it's a really exciting time for partners all around.
Operator: Your next question comes from the line of Pat Walravens of JMP Securities. Please go ahead. Your line is open.
Pat Walravens: So George in your years at Salesforce, you saw economic cycle sort of come and go, right? I'm just wondering how you would characterize the macroeconomic and spending environment that you're seeing today?
George Hu: Well, even though I had at an Economics degree, macro is my worst subject. So I'm probably not the best prognosticator of all these kind of things. I will say this which is that obviously given the nature of our business that as companies and as consumers and the general economy is healthy, of course it's going to be a tailwind for our business. And so, we will continue to focus on our core strategy, which is focus on customer engagement, because I think that whether it's up cycles or down cycles the only thing I saw at Salesforce was that, you always had to go back to your customer. If times are good, you had to invest more. If times are tough, you had to be even more focus on your customer to be competitive. So I think that's really is something -- I think it's good to have a business model that your deal is relevant in all cycles and I think that is true in my old company and true in here as well.
Operator: Your next question comes from the line of Jonathan Kees of Summit Insights Group. Please go ahead. Your line is open.
Jonathan Kees: I agree with you in terms of taking us down on HP, which is a non-partisan issue. My question is, on -- I guess this partnership with T-Mobile, I guess I wanted to understand it better here. In terms of -- is this something that just limits the developers the Narrowband network with T-Mobile? I mean, I guess, I haven't seen too many of these partnerships more with the carriers. You seem to just aggregate all into the Super Network, where you have -- is anything that you have bunch of carriers there and you talk about them in that, and this is kind of unique in terms of just singling one out and then developing a partnership on their network. Just wondering, are you looking to add to that partnership? How does this went in terms of the developers and what they can do with it? Thanks.
Jeff Lawson: Generally, our SMS product and the playbook is going to get started in the United States and expanded over time. And so, I think that's pretty similar here. It's actually also unique kind of time for NB-IoT, because these protocols are just being rolled out now. And so, T-Mobile has just lit up their NB-IoT network here in the United States and we expect other carriers are in the process of doing that or going to be doing that in the coming year around the world. And as they do it makes sense for us to have a product that allows the developer to build something that works everywhere in the world. But on day one of a product we've announced it in the United States in similar to what we did with our Super-SIM on the not Narrowband side, the broadband side of wireless. We started in the United States with T-Mobile, now we created Super-SIM and we work with other partners around the world, I can imagine the same thing could happen with NB-IoT, but these networks are brand new.
Operator: Your last question comes from the line of Mike Latimore of Northland Securities. Please go ahead. Your line is open.
Mike Latimore: My question is what percent of your Flex deals are replacing the underlying contract center's infrastructure versus adding enhancements to it? And then, what's the process for selling Flex? Is it through the traditional channels like master ones?
Jeff Lawson: Can you repeat the second part of your question again?
Mike Latimore: Basically where you sell Flex through traditional channels like you have in the past?
Jeff Lawson: So in terms of the first question, we do see a little bit of both. We do see a replacement as well as augmentation. Our larger transactions tend to be replacing some incumbent legacy solution. In terms of the channels, we're selling Flex the same way today that we're selling our other products, which is a little bit self-service, a little bit through our direct to sales team, and then I think what is different about Flex is I think there'll be more of partner opportunity for that going forward and we're definitely seeing a lot of partner demand to do services around Flex and also people that want to resell the product. So, I think there's an opportunity there over time, but that would require us building an infrastructure to support that which we would be in the early days of doing right now.
Operator: There are no further questions at this time. Thank you for participating in today's conference. You may now disconnect.